Operator: Good morning and welcome to Gafisa’s earnings release call for the Q3 2016. In today’s teleconference, we have Mr. Sandro Gamba, Gafisa’s CEO; Andre Bergstein, CFO and Investor Relations Officer of Gafisa; Rodrigo Osmo, Chairman of Tenda; and Felipe Cohen, CFO and Investor Relations Officer at Tenda. We’d like to inform you that this presentation is being recorded and that all the participants will be in the listen-only mode during the presentation. Afterwards, we will hold a Q&A session. [Operator Instructions] Before beginning, we’d like to inform you that this conference call will address Gafisa’s financial results for Q3 2016 based on information currently available. Management statements involve risks, uncertainties and may make reference to future events. Any changes in macroeconomic policy or legislation and other operating results may affect the company’s performance. Now, I would like to pass the floor to Mr. Bergstein. Mr. Bergstein, you may proceed.
Andre Bergstein: Good morning and thank you for being with us today. We knew 2016 continued to be affected by the recession in Brazil. The combination of political crisis has had a strong effect on Brazilian markets. Gafisa with the diversification of its operations present in high income and low income areas has different realities in this field. The Gafisa segment which is more affected by the worsening of the macroeconomic situation wants to continue to improve its level of operations and business management through an adequate development of a new series of projects. Tenda anchored on the resilience of the low-income market, continues to have more consistency in the expansion of its business model even with the current difficulties in the macroeconomic environment. In the Q3, Gafisa segment launched four projects in São Paulo, with a total R$411 million, totaling R$621 million. We would like to stress that good commercial performance of these launches and the speed of sales reached 30.7% in the period thus showing a small improvement in the trust in the consumers. In Q3, Gafisa was able to reach its best operational performance of the year. Apart from the better result in sales with gross sales reaching R$160 million, an increase of 39.7 in relation to Q2, another important point in the quarter was a reduction in the volume of cancellations. With this combination, the net sales reached R$258 million in Q3, representing 57% of total net sales year-to-date. Even with the good performance of the projects launched in the period, the VSO of the Gafisa segment continues to suffer with the difficulties of the current situation in the market with a late volume of net sales in projects that are in the inventory. In Q3, VSO reached 11.5% about 6.3% of Q2 ‘16 and 11% in the previous year. As we have seen since 2015, one of our main guidelines is to concentrate our efforts in selling the remaining units of the inventory. Inventory represented 43.2% of net sales and 58% year-to-date. Nevertheless, with the greater number of cancelations in older projects, net sales continue to be concentrated in the new projects with a lower revenue. During this quarter, we delivered 19 projects totaling $1 billion in projects delivered year-to-date. We finished with 16 projects -- 19 projects in execution all of them done on schedule. We passed contracts to bank loans of R$126 million in Q3 and R$278 million year-to-date, resulting in a better efficiency in passing these contracts to banks even with credit restrictions. Even with signs of stability in the market and better operational performance of the company, we cannot yet see the results of financial results because there are under pressure due to difficulties in selling some projects in inventory and also the long period of recession and its effect on prices. The expectation of an improvement in the macroeconomics scenario and the recovery of high income real-estate sales should allow the recovery of the company in the next few years. We continue to have a cautious posture and balancing the launching of new projects giving priority to those with greater liquidity to reach a level of sales and profitability but will be adequate. Now I’d like to pass the floor to Felipe Cohen who will talk about the highlights and trends.
Felipe Cohen: Thank you, Andre. Good morning. Concerning Tenda, this economic segment continues to have more resiliency which allows to mitigate partially the negative effects of this year. With this support, Tenda continues expanding its business model. In Q3 2016, the Tenda gained another important step to have more scale with launches reaching R$325.4 million. We have nine projects in phases in the states of São Paulo, Rio de Janeiro, Rio Grande do Sul in the south, Pernambuco and Bahia in the North. Year-to-date the Tenda segment had R$968 million in launches. In Q3 2016, gross sales reached R$318.7 million with cancelations reaching 25.1% of gross sales, totaling net sales of R$238.7 million. In Q3, the increase in the volume of cancelations at Tenda related to these three points; seasonality effects related because there was a sales promotion with federal sales bank in Q2. Also banks demanding interviews with prospective buyers and this generated the cancelation of some loans to clients who had already received these loans through the system and a review of – unilateral cancelations of Tenda after three months. Since we believe the previous proceeds still had some cancelation after the period the company believes is correct. We believe that this should result in a temporary increase of cancelation in Tenda before we go back to the expected levels. Since 2013, when we began the operations with the new model, Tenda has launched -- projects with $3 billion in -- Tenda has delivered R$1.4 billion including 32 projects -. We think it’s worthy of mention that all the projects launched in 2013 were concluded and delivered on schedule. And concerning 2014, we have to deliver in the next few months only then project of the ‘13 in 2014. In Q3 ‘16, Tenda segment delivered 10 projects -- and 1,811 units were transacted R$265.1 million in --. Year-to-date we delivered 23 projects of phases including 4,107 units and R$602.2 million in VGV. Tenda continues to increase its scale intensifying the volume of launches and using strategies to guarantee a solid speed of sales. The consistency of recent results that were made with the undertaking the current business model. Now I would like to pass the floor back to Andre Bergstein.
Andre Bergstein: Thank you. In consolidated terms, Gafisa and Tenda launched R$736.4 million in Q3 ‘16. Year-to-date R$1.6 billion in the projects, the Gafisa segment was responsible for 56% of the launches in the quarter and Tenda 44% remaining. In Q3, net sales R$497 million, an expansion of 9.8% in comparison with Q2. The Gafisa segment was responsible for 52% of net contracted sales while Tenda the 48% remaining. Adjusted gross profit consolidated gross profit was R$132 million with a margin of 26.4%. Year-to-date, the days adjusted -- were R$90 million or 27.5% margin. The company continues to search for greater stability in the structured costs and expenses. In Q3, general and administrative expenses reached R$49 million, a little below in comparison with year-to-date ratifying the company’s efforts to respond in an efficient way to the adjustments in real-estate market. In Q3, Gafisa reported a consolidated net loss of R$72.6 million compared with R$38.4 million loss in the previous quarter and a profit of R$30.5 million in Q3 ‘15. At the end of the period, the net debt over - reached 49.3% excluding the financing of projects, we have a negative of 8.1%. The generation of consolidated cash reached R$97.4 million with net cash of R$13 million. Year-to-date net cash reported was R$8.8 million. We will continue being cautious in the last quarter of the year trying to balance the launch of new projects to be priority to those with greater liquidity in order to reserve the level of sales and adequate profitability. The Gafisa segment with balanced operations is trying to manage the effect of the recession and Tenda in the resilient phase is ready to continue its current strategy and put out good results of the projects launch with the new model. The company continues working with discipline in capital and has its guidelines for the goals of profitability and for the generation to shareholders. We thank you for your attention. Now we’re available for the Q&A session.
Operator: Thank you. We will like to begin the Q&A session. [Operator Instructions]. Our first question comes from Mr. Gustavo Cambauva from BTG Pactual Bank. Mr. Gustavo, please proceed.
Gustavo Cambauva: Good morning. I have two questions. The first has to do with Alphaville. Could you comment in more detail the operations of the company, it was profitable in the past but this year it has incurred losses and great variation between quarters. Could you talk about may be if it’s the volume of launch of sales, cancelations have affected the sales? And what are the expectations for next year, do you expect improvement? So give us an idea of how to go.
Andre Bergstein: Good morning Gustavo. Andre speaking. Concerning Alphaville although the performance in 2015 was very good, we had a very good year in sales in 2015, Alphaville has been suffering the effect of the market. It is more resilient but it was also affected in the end. So Alphaville was more conservative in 2016 with less launches and consequently lower sales volume. The dynamics of Alphaville are related to a strong VSO in the launch. So they begin with strong sales and then we sell the remaining units during the construction, now with a more conservative approach with no launches this year, it had an impact on sales and on revenue. In terms of cancelations, Alphaville has been more hard-hit. It is high income, low volume, but it has a volume that is above that -- the one we had historically in Alphaville. In terms of operations, profitability of the projects continues to be very good, but if with less launches, consequently less sales, less revenue and naturally this will be causing problems when diluting the expenses. So now we’re seeing situation we’re seeing the greater optimism from now on. This may result in Alphaville having a quick response. We have a great land bank also we have on the shelf - the projects as a result of the dynamics of the market, we may begin to have more launches if the market improves. Apart from operations, we’d like to talk about the financial side - to me has presented a more heavier financial expenses, it gets interest level so financial expenses have been higher but in Alphaville that – leverage by Alphaville and not in normal cash consumption. Now since I’m talking about debt, I’d like to make this clear to clarify this better, the debt of Alphaville is Alphaville’s debt, Gafisa’s debt is Gafisa’s debt. So they are separate. Alphaville has a business model, the brand is very strong, it’s a brand with the best recognition in Brazil all the plots of land are bought in exchange for units. So as I said, we have been more conservative due to the recession we are going through but we are prepared with many projects on the shelf as the market improves gradually we will launch the project and we will cover the profitability we had in Alphaville.
Gustavo Cambauva: Thank you, Andre. Yes it’s very clear. Another question concerning Tenda, could you talk about timing for the IPO closes and also cancelations in this quarter? You mentioned this change in policy after three months for example, you have the units through the bank and you get loans. Is it linked to the banks, having more restriction on credit or can you tell us how many sales are older than -- been received by the banks and the impact on the next quarters?
Felipe Cohen: Hello Gustavo, Felipe here. First of all, concerning the IPO, all the public information are available in the stock market. We cannot comment on this process. It is in our SEC. Now, whatever is not there, we will eventually inform the market. Now concerning operations cancelation, the purchases, we were very transparent in the release. In fact, there is nothing linked to bank restrictions. We took this initiative. There is this seasonal effect because in Q2 the federal savings bank promoted a great promotion so we sold more and now therefore we have more cancelations. Yes there is the credit restriction with the introduction of interviews in the bank branches. So we recognize the sale when the client is approved in the system by the federal savings bank or Bank of Brazil. They make their down payment and the bank approves by the software system. But now suddenly the banks are requiring further interviews, which they did not require before. So some were not approved were loans through these interviews. So we have this in Q3 but from now, after we understood the process, we are recognizing sales only after the interview. So it delayed the recognition of sales in our books. The third point, this has a temporary effect. We estimate two to three quarters to process so we noticed if the volume of units over average three months which is the company average was higher in the model, in the units that had not been received by the banks for loans after three months. These have to be canceled, unilateral cancelations include red tape, there is a great operation behind this. You have to notify the client many times, you have to use -- public, since we began this in Q3, it will take some time to be ready. In terms of volume, I would say that 100 million. In this, we see a rate of cancelation because they have not been financed by the bank after three months. In terms of operations, cancelation should continue at a higher level than we have before and after this process of unilateral cancelation we will converge to the same level we have before 15%. So this should not harm the operational model.
Gustavo Cambauva: Thank you.
Operator: Our next question comes from Guilherme Capparelli from Citi Bank.
Guilherme Capparelli: Good morning. I’d like to know about Gafisa’s gross margin. Could you give us more details about the sale of commercial plots of land that resulted in a loss?
Andre Bergstein: Hello, Andre speaking. The gross margin apart from other factors that we described in the release, we had the issue of the sale of plot of land. This was for a commercial building in Sao Paulo an office building in Sao Paulo. We received the proposal, we analyzed and we looked at the alternatives. The office building marketing is very -- so we started it, it will take time to launch a project there and also we looked at the cost of this inventory compared with the two alternatives, we thought it would make sense to sell the plot of land and invest the money in a more efficient way in the project. We analyze every year at the land bank and sometimes there are plots of lands but we see that are available for sale and sometimes we include them, there are still one or two, the are in our development plans. So we have a lot of plots of land residential buildings and office buildings, we don’t have the intention to sell other plots of land should be launched for office building right now.
Operator: [Operator Instructions]. Our next question comes from Bruno Mendonca from Santander Bank.
Bruno Mendonca: Good morning. Concerning cash generation in Q4 and deliveries and you are still sending clients to the bank, could you give us more detail what we can expect in terms of cash generation in Q4? Thank you.
Andre Bergstein: Andre speaking. I’ll talk about cash generation, and Felipe you can talk about Tenda. Concerning Gafisa, we had a good delivery in Q3 but it was 35% were office buildings under construction and they do not -- we don’t have this system and securitization. So in practice, we don’t have such a strong impact on cash generation. We sure have plot of land as we said. We had a cost of R$31 million, we received for R$16 million and the remaining R$11 million were received in October. So, it’s not that relevant. We still have same deliveries next year, the launches that we made in Q3 and Q4 so it’s still early to turn down the markets. We have a lot of inventory ready -- limited inventory and disputed sales can be better or worse. It’s still early to see how we will have cash generation, but plot of land as I said does not have a great impact. We don’t believe in a great change but it’s still early. Felipe you want to talk about Tenda?
Felipe Cohen: In the case of Tenda, since last year we talked about the consumption of cash generation and the change in 2016. When we look at the three quarters up to now year-to-date, the company has generated more than 18 million in cash. Tenda suffered a loss with the strike of bank employees, it was the longest strike in September we expected a thousand units to be received by the banks and only 200 were sent to the bank to obtain loans. So we have an effect in September. Looking at cash generation in Q3, the 82 million that we translated year-to-date the last quarter contributed only 7 million in cash generation. In Q4, naturally we expect to maintain the performance we had of the past. When we look at each quarter – another quarter may suffer some effect, maybe we analyzed the 12 months, we have this expectation of generating a lot of cash on a more robust scale and different from 2015 when we were growing very fast. Now, we have a growth that is more modest, growth speed that is more modest.
Bruno Mendonca: Thank you.
Operator: [Operator Instructions]. Our next question comes from Mr. Marcello Motta, JP Morgan.
Marcello Motta: Thank you. Good morning. Few questions. Could you comment on the financial retakes in this quarter? Although things have been stable near the quarter, other expenses went up. So please comment on this and if you could talk about Gafisa, the use of new sources, leverage, please comment.
Andre Bergstein: Andre speaking. Concerning the IPO, whenever it’s public is in the SEC in Brazil, the stock market. For the time being, we can’t give you more details. Concerning financial expenses, interest on Gafisa side, we didn’t have anything very different. We mentioned some specific points. Gross debt is stable in the quarter, small variation. So net debt also almost the same but cost of the debt has not risen, 100-102% of the CDI index. We didn’t have anything relevant in GAAP either. So still no comment on their side, but to – September, yes we have reclassification of the accruals for interest affecting net margins and financial expenses. It has no net effect on results but there is an effect between accounts. Today for example leverage of Tenda is negative. We have net cash position so there’s no concern in terms of financial expenses. It was an adjustment that was made R$11 million that we reclassified only once.
Marcello Motta: Thank you. I was looking at total expenses. It seems that it went from R$65 million to R$80 million although you don’t have any difference in gross debt. We can talk about this later. Thank you.
Andre Bergstein: Yes, there were no other relevant facts. We can take a look may be capitalization of interest.
Operator: Our next question comes from Mr. Luis Stacchini from Credit Suisse.
Luis Stacchini: Good morning. Two questions, you mentioned the plot of land, will this effect on the result? Will the debt link to this plot of land because you said the cost I thought that it may be you have interest rate -- in terms of Tenda, could you give us some numbers what you believe if things should stabilize for Tenda?
Andre Bergstein: The plot of land we had no debt linked to them. We had expenses with the purchase and interest ready loan and reserve for ‘16. Concerning receivables in Tenda, today we have in our portfolio adding R$125 million in receivables -- accounts receivable. In our specific case in Tenda, since we have this model of aluminum dies and short construction projects, we have this amount to receive after delivery. So, we have accruals of 110 million in receivables. We are working with 26% accrual. Tenda’s portfolio is very young, very new and we are working in this model for three years. So this trend is that we will have a very good portfolio and as a consequence, these expenses after delivery should go up. So the lump we will view the history of delinquency and we reflect this in the numbers to avoid problems in the future. So the gross margin includes the reality of the business.
Luis Stacchini: Thank you.
Operator: Since there are no questions, we’d like to pass the floor to our speakers for the final comments.
Andre Bergstein: Well I’d like to thank you all for your presence during the call. We will continue in Q4 looking at the market conditions cautiously but also with optimism. Gafisa we expect consumers to have more trust, also Tenda with more resiliency and therefore we will meet again next year. Thank you and bye.
Operator: Thank you. So this conference for Q3 2016 is ended. We thank you for your participation. We wish you a good day.